Operator: Good afternoon ladies and gentlemen and welcome to the Zumiez’s Incorporated, second quarter fiscal 2009 earnings call. At this time all participants are in listen-only mode. (Operator Instructions) Before we begin, I would like to remind everyone of the company’s Safe Harbor language. The following discussions may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Please note that actual financial results of the company, for the period being discussed, may differ materially from the financial results projected or implied in the forward-looking statements. Additional information concerning factors that could cause actual financial results to differ materially from projected results is contained in the company’s Annual Report on Form 10-K and other documents filed by the company with the Securities and Exchange Commission. The company disclaims any intend or obligation to update forward-looking statements. No reporting or rebroadcast of this call is permitted without the company’s expressed written permission. I would now like to introduce your host for today’s conference, Rick Brooks, CEO of Zumiez. Please proceed.
Richard Brooks: Thank you. Good afternoon and thanks for joining us to discuss Zumiez’s second quarter fiscal 2009 results. Joining me today is Trevor Lang, our Chief Financial Officer. Following my opening remarks, Trevor will review our financial and operating highlights. Today, we reported a second quarter loss per share of $0.10, which includes a charge of $0.03 a share, associated with the previously disclosed lawsuit settlement. Our results were better than our previous expectations or loss between $0.17 to $0.14. Comparable store sales for the quarter were down 18.8%, which was also better than our forecast for our comp decline in the low to mid 20% range. We were encouraged, that each month during the second quarter our same store sales improved a bit. While we are not satisfied with comp declines or an operating loss, our team is doing a good job executing in what continues to be a very challenging environment, and we are pleased to have exceeded our internal projections. At the start of the year, I outlined several operational and strategic priorities that would serve as the framework for how we would manage the business in 2009. We continue to believe that if we stay true to what makes the Zumiez experience special and focus on successfully executing the parts of business that we can control, we will emerge from this economic slowdown with our position as the premier action sports lifestyle retailer intact, and a strong balance sheet to support and fund our future growth initiatives. Operationally, we have cut costs where it makes sense, but we are continuing to invest where we believe we’ll have the highest returns and most opportunity for future possible growth. As a result of our continued efforts, in the second quarter inventory declined 3.5% in total and was down 16% on a square foot basis when compared to the second quarter of last year. This well managed inventory, along with delivering trend and value right assortments, led to flat product margins in the second quarter, during our very price sensitive and competitive sales environment. SG&A increased at about half the rate of square footage growth again in the second quarter, excluding the legal charge. Controlled inventories and lower capital expenditures led to our current cash and cash equivalents increasing 23% over the second quarter of last year to $82.1 million, 31% of our total assets. Strategically, we focus on offering our customers the best possible merchandize and service, including a full presentation of the action sports lifestyle, with a broad selection of hard to find brands in every department. This has always been the hallmark of Zumiez and our team continues to excel at building the unique brands and styles our customers are looking for. While we always had a multi tiered price structure, we have worked diligently with our vendors for our private label to offer products that trend right, with compelling price points that are reflective of the current economic situation, while maintaining the integrity of our brands. We remain committed to providing every visitor with unique Zumiez store experience. Our sales, merchandizing and marketing teams have focused on delivering messages we believe make us distinctive in the mall. This combined with some of the best training in specialty retail, is the best platform for promoting our concept, and is critical to developing both new and repeat customers for the long term, and we launched a new website with improved functionality and I believe it will allow us to continue to grow this important channel. As I always do, I spend a good deal of time visiting the stores in different areas of the country since the beginning of the year. I can tell you that our store managers and sales teams are energized and motivated as we head into our peak, back-to-school selling season. Our entire organization is focused on successfully navigating through the current economic downturn, and committed to achieving our long term objectives. With that I’ll turn the call to Trevor.
Trevor Lang: Thanks Rick and good afternoon everyone. We are not content with our second quarter and year-to-date financial results. However, we are pleased with our ability to deliver value to our consumers, in an environment of constrained discretionary spending. We have reacted well to the recession. In doing so, our performance has been better than we had planned for in the first half of this year. We have managed our inventory, cost structure and capital spending in a way that has allowed us to continue to remain relevant to our customers, invest for the future, and continue to attract, retain and motivate the retail talent. We believe our business model has become more differentiated in the marketplace during this cycle. This will be good for our business as we come out of this cycle. For the second quarter, net sales totaled $85.2 million, a decrease of 7.7% compared to $92.3 million in last year’s second quarter. The decrease in net sales was driven by a comp store sales decline of 18.8%, somewhat offset by the opening of 45 new stores since the end of the second quarter last year. Our same store sales in the western half of the United States and the south, which represent about 55% and 12% of our comp store sales respectively, saw declines of over 20%, while our stores in the Midwest and the Northeast comped down about 15%. Our web comped up about 20% for the quarter. Transactions accounted for almost all of the same store sales decline. For the quarter, we saw a nice lift in our units per transaction, which we believe shows the strength of our sales team. However, this increase in UPTs was offset by a decline in average unit retail. All of our departments posted negative same store sales in the quarter. Gross profit for the second quarter increased $5.5 million or 18.1% to $24.6 million or 28.9% of net sales, compared to a gross profit of $30.1 million or 32.6% of net sales in the second quarter last year. The decrease in gross profit margin of 370 basis points was driven primarily by deleveraging store occupancy expense on a negative comp. As Rick mentioned, our product gross margins were about flat for the quarter, due to well managed inventory by the team. Moving to expenses, in total SG&A expenses increased $3.7 million or 14% to $29.9 million, compared to $26.2 million in last year’s second quarter; an increase as a percentage of net sales to 35%, from 28.4% of net sales in the second quarter last year. As Rick mentioned, included in SG&A is a $1.3 million charge associated with settlements of a previously announced lawsuit. Excluding this charge, our SG&A increased about 8%, which is half the growth in our square footage during the quarter. As a reminder, about 80% of our SG&A is incurred at the store level and grows at our square footage grows. We have continued to find ways to lower our cost structure relative to the added square footage. The increase in SG&A as a percent of sales was driven by the deleveraging on a negative comp, and increased store expenses associated with 45 new stores opened since the second quarter of last year. We had an operating loss of $5.2 million in the second quarter of fiscal 2009, compared to an operating profit of $3.9 million from last year’s second quarter, a decrease of $9.1 million. We recorded a tax benefit of $1.8 million during the second quarter, compared to a tax provision of $1.7 million in the second quarter of 2008. As we mentioned on the last call, our tax rate is expected to be a bit unique this year, because we reported a loss for the first six months of this year. Our net loss for the second quarter was $3.1 million or $0.10 per diluted share, compared to net income of $2.7 million or $0.09 per diluted share in last year’s second quarter. Turning to our first half 2009 financial results. For the first six months ended August 1, 2009, the company reported net sales of $162 million, a decrease of 5.3%, versus the $171 million in sales in the first six months of 2008. Comp store sales for the first six months of 2009 decreased 17.2%, compared to a decrease of 1.3% in the first six months of fiscal 2008. Gross profit decreased $8.1 million or 14.9%, $46.5 million for the first six months ended August 1, 2009, from $54.7 million last year and decreased as a percentage of net sales to 28.7% from 32%. Again, the decrease in gross profit margin was driven by an increase in store occupancy costs as a percent of sales, due to negative comp of 17.2% and the 45 new stores added since the second quarter of last year. SG&A expenses increased $6.1 million or 12.4% to $55.2 million for the six months ended August 1, 2009, compared to $49.1 million for the same period last year, and increased as a percentage of net sales to 34% from 28.7% of net sales. The increase in SG&A as a percent of sales is due to store operating costs deleveraging on a negative 17.2% comp, and the legal charge already discussed. Operating loss was $8.7 million compared to an operating profit for the six months of fiscal 2008 of $5.5 million. Our net loss was $4.7 million or $0.16 per diluted share, compared to a net income of $4.1 million or $0.14 per diluted share in the first six months of 2008. Turning to key balance sheet highlights; at August 1, 2009, cash and current marketable securities increased $15.5 million or 23.2% to $82.1 million, from $66.6 million at August 2, 2008. Inventory was $69.6 million versus $72.1 million a year ago, representing a 3.5% decrease from the second quarter of fiscal 2008. At the end of the quarter, inventory decreased by about 16% on a per square foot basis from the same time last year. We believe we have an appropriate level of inventory for future sales and are comfortable with our seasonal stock. Also on August 1, 2009, the company has no debt, including no outstanding balances on its revolving credit facility. Now, let me turn to our guidance. Although, we are not giving specific full year guidance, we want to share with you our thinking about the remainder of fiscal 2009. We are planning our sales, including our same store sales down for fiscal 2009. Through the second quarter we’ve open 26 stores and still plan to open 36 stores for the full year. We believe our quarterly same store sales losses will get increasingly better in each of the third and fourth quarters, relative to our second quarter performance. We believe we made good progress in modifying our product assortment mix and value equation, to reflect the current environment and pressure on perceived price and value by the consumer. Our goal has always been and we’ll continue to have cool, fresh, new products at the right price when the customer comes in, and operate at fewer markdowns relative to the last year. This has helped us to maintain flat product margins for the first half of the year and we believe we have the ability to continue that trend for the remainder of fiscal 2009. We continue to make strides in lowering our cost structure and believe we can grow our SG&A at less than half the growth in square footage for the remainder of the year. We expect our depreciation and amortization for fiscal 2009 to be approximately $22 million versus $19.5 million in fiscal 2008. We are planning our inventory per square foot declines at the end of the third and fourth quarters, to be inline with our projected same store sales declines. We see no need to borrow in our new credit facility and expect our year end cash levels to be above last year. We are planning positive cash flow from operations for the full year, albeit lower than fiscal 2008. Based on recent sales trends, we currently expect our fiscal 2009 third quarter sales to be in the range of $104 million to $107 million. This assumes a comparable store sales decline in the low to mid teen range. Based on these assumptions, we expect to report earnings per diluted share of approximately $0.05 to $0.07, and our operating margins will decline to about 1.5% to 3%, primarily due to deleveraging our cost on negative sales. As a reminder, Labor Day moved out a week in the retail fiscal counter from the first week in September of fiscal 2008, to the second week in September this year. This has caused a number of states that we do business in, to move their back-to-school starting date, and therefore we anticipate our August results will be negatively impacted and our September results will be positively impacted, as we believe consumers will move their spending back to coincide with the later holiday and later back-to-school start dates. Operator, I think we’re now going to turn the call over to questions.
Operator: (Operator Instructions) Your first question comes from the line of Mitch Kummetz of Robert W. Baird. Please proceed.
Mitch Kummetz - Robert W. Baird: Yes, thanks and congratulations on the quarter. A question on your Q3 guidance, you are now expecting both your comp and your operating margin to be a little bit better than what you were kind of previously indicating on your Q1 call. Is that largely just based on the trend over the course of Q2, just coming in better than what you were initially anticipating for the quarter?
Trevor Lang: Yes, I think that’s right Mitch. A quick reminder; as we came out of the fourth quarter last year, our product margins were down over 310 basis points. We had expected to get some of that back in the first half of the year, and we’ve actually done a lot better than that. Obviously as Rick and I both stated, our product margins were flat through the first half of this year. Now that we’ve seen some trends, and are planning for the back-to-school and holiday periods, we do believe we have the ability to continue that flat product margins, and frankly we have more opportunity in the back half of the year, because our margins were down more in the back half of ’08, relative to the first half of ‘08. I think in regards to comp, I think that’s right too. We explained on the year end earnings call and again on the first quarter earnings call, that we were very focused on making sure that our consumers understood the value we had, and value meaning more than just price, customer service, the products you can put together, unique brands, collective shoes, all of those things that made Zumiez special, and I think we’ve done a good job with the merchandizing efforts, the sales teams efforts, and the marketing efforts, to make a very pointed picture to our customers and we have a feeling that that’s going to be better for us as we move into the back half of the year.
Mitch Kummetz - Robert W. Baird: Then on Q4, I guess I was expecting to see a little bit more color on the quarter. I know on the Q2 call or I assume your Q1 call, you gave some preliminary kind of comp and margin parameters on Q3. As I think about Q4, you guys made the comments that you expect the comp trend to improve, Q3 over Q2 and then continue into the fourth quarter, and then also on the margins, flat product margins over the balance of the year. I mean how much improvement in the comp would you expect at this point to go from Q3 to Q4, and I know you’re up against a pretty easy gross margin comparison in the fourth quarter, particularly on the product margin side. I guess you’re not anticipating anything better than flat product margins by Q4. I thought maybe you would be thinking that you could recover some of that lost product margin from a year ago.
Trevor Lang: Yes Mitch, this is Trevor. These next few weeks are just so important for us, and the first two weeks of August are not nearly as meaningful as the last two weeks of August, which is weak we’re in this week and next week, or this week and the beginning of September. So our thinking is, let’s see how August and September play out, and we still are in an unprecedented time and I think the prudent thing to do is just to wait and see how the back-to-school period comes out, and depending on how those periods come out, I think that will give us a better feeling as to how we should think about the fourth quarter, but we think just at this point, we are not sure we have enough visibility to give a lot more color or comfort around what we are expecting for the fourth quarter.
Mitch Kummetz - Robert W. Baird: Then one last question; within the next few months you’ll be moving into your snow business. I want to say that’s high teens 20%, part of your mix by the fourth quarter, how are you thinking about the snow business at this point? I think last year you were towards more introductory pricing on some of your product. What are you doing from a merchandise standpoint or how will you purchase snow business from a merchandize standpoint this year versus maybe prior years, and do you still think there might be some resistance on the part of the consumer to that kind of level of price point?
Richard Brooks: Mitch, we are going to assume that all our seasonal businesses as you know for the last couple of years, whether it’s been winter or spring, have been tough businesses. So we are going to do what we did this past spring, we’re going to plan our snow business conservatively. We are as a part of that, in terms of just the overall plan, in terms of sales and inventory levels. We are also saying, like we have going into the back-to-school period, how can we deliver greater value to the consumer again and kind of Trevor just described it for us there, from the perspective of not just price, but unique brand, the right positioning of the product and value in terms of the service we provide. So I think the overriding message is, we think we planned it pretty carefully. We think we are going to continue to do the things we did last year in terms of breaking it down between those introductory price points, and the higher end technology driven packages. You are going to see us continue those kinds of things, and of course we want to have our great sales people well trained to sell and match the right writer to the right equipment. So, we are being conservative and hopefully we’ll be delivering good value for our consumers.
Mitch Kummetz - Robert W. Baird: Alright.
Operator: Your next question comes from the line of Sharon Zackfia of William Blair. Please proceed.
Sharon Zackfia - William Blair & Co.: Good afternoon. I guess you were making some changes for the back-to-school product, and you had alluded to them earlier this year. Could you walk us through kind of the big picture, what you’ve done differently for back-to-school? I know it’s early, but maybe what the initial read is and the customer base on those changes?
Richard Brooks: Again, just right off the top Sharon is, as Trevor commented, we are not going to give any sense of early read, because we’ve only got the first couple of weeks behind it. At this point they are not the big weeks. We have remaining two, three, four weeks to go in this cycle. The shift of Labor Day makes it very less certain in terms of our ability to predict where we are at this point, so we are not going to comment on kind of trend wise where we are at. I will be happy to review some of the things we said we are going to do relative to back-to-school in terms of doing them differently. I will tell you, I think we’ve done that and now is the time to see if the consumer is going to respond to us. So we said that we were going to bring in key categories of product AUR, average unit retails down to meet a value consumer. At the same time we are going to increase IMUs in terms of providing us more margin room to maneuver. We said that we are going to look at where we could use private label strategically in our mix in terms of getting that value proposition. We said that we are going to work collaboratively with our brands at presenting both, the value as well as style and fashion, at the right price points to consumer. I can tell you Sharon, I think we’ve done a good job on all those fronts. Now we just have to wait and see how the consumer plays out here over the next few weeks.
Sharon Zackfia - William Blair & Co.: Is the game plan, I mean I know it’s still early I guess to think about the holidays, but when you think about AUR and IMU, and so on, can you talk about how you’re thinking about that for the holidays and maybe give us some perspective on why your opened to buyers at this point for the holidays?
Richard Brooks: Sure. Again, kind of Sharon, I think the way we just described our plan for the holidays, I just commented on regarding the snow business, we are going to try to extend that through all those key holiday categories of business; the outerwear the gift giving categories and try to provide again value in all those ways. Again, as Trevor described at the top of the call, we are constantly as you might imagine, we still have room to adjust our holiday numbers, and so we still have room out there from an open-to-buy perspective, and we are doing that as we see results almost really on a daily basis at this point. As we move here through the back-to-school window, we can inform some decisions that we have room to make it for holidays. We are doing that on I would say almost a daily basis. So we still have a lot of room to maneuver Sharon, I would tell you, and a lot of categories for holiday, and with the one exception of course to that being the snow hard goods categories, and the snow outer wear category, those areas have been fully committed for a while now.
Sharon Zackfia - William Blair & Co.: Is the IMU opportunity then in the October quarter, just to be clear, is it materially different than what you saw in the July quarter?
Richard Brooks: You mean in the third quarter versus the second quarter?
Sharon Zackfia - William Blair & Co.: Exactly.
Richard Brooks: Yes, it is, because as a function of both categories that’s going to sell differently, we have less of a seasonal influence on our business from the spring categories. So we have more of a fall influence from the fall category. So yes, it’s different, the volume level is different because of the peak season.
Sharon Zackfia - William Blair & Co.: Okay, and then just kind of a last question just to be crystal clear on this. I’m assuming, given some of your commentary, that you expect August to be the weakest month of the quarter, is that a fair comment?
Trevor Lang: I would say between August and September we would expect it to be the weakest. I think as you get into October, October is a pretty low volume period for us, and what we’ve seen in this cycle has been even more concentrated sales during the peak volume times, and so I think unfortunately for us October’s low volume is a non-peak time. We do have, I think that was our lowest comp of the third quarter last year, in fact I know it was. So we do have more opportunity when we get to October, but the reason we are going to be a bit cautious about that, is the fact that we have seen customers retreat after these peak volume times and that might be something that happens again in October.
Richard Brooks: I want to encourage everyone to think about the back-to-school cycle as the only really meaningful way to evaluate it. It’s going to be because of the shift of Labor Day, if you have to think about August and September as a unit as opposed to individual months.
Sharon Zackfia - William Blair & Co.: Okay, thanks.
Operator: Your next question comes from the line of Jim Duffy of Thomas Weisel. Please proceed.
Jim Duffy - Thomas Weisel: Thanks, and thanks for taking my question. So to visit your stores, the inventory reduction is visible, is there any way to quantify the impact that less inventory in the stores is having on the comps?
Trevor Lang: I think Jim, a few thing I’m sure Rick and I have a thought on this too is that, it’s allowed us to present our brands better, it has allowed us to merchandize our stores more effectively, I think it’s allowed us to train our sales team and things that we haven’t spent as much time with, which I think has been somewhat exciting and a very fruitful exercise for our store team. It’s also allowed us to do broader brand presentations, some of our brands have partnered with us in showing the whole collection of a brand, which is something that we didn’t have a physical space to do in the past. So it has allowed to us to try and do a lot new things that we haven’t done in the past. So I think we view the job that the merchandizing team has done very good for I’d say almost four or five years now, where we had been in a trend of having our inventories be at or around the same store sales growth or decline. So we obviously see it as a good thing and believe that we’ve done the best job possible at putting the right amount of inventory based on the demand we see.
Richard Brooks: I would add to that then Jim. Also the idea that obviously we are going to try to flow receipts ’s closer to the time of the needed sales. So I think you’ll see that as a function to better timing, better matching receipts with need for sales.
Jim Duffy - Thomas Weisel: Paraphrasing, it seems like you don’t feel like you’re missing much sales, and because of it you’ve made operational improvements of streamlining the working capital needs of the business on a go forward basis I guess?
Richard Brooks: I think that’s fair to say, that’s certainly been our objective.
Jim Duffy - Thomas Weisel: Okay, good. That sounds healthy. Then Trevor, we begin to see sharp reductions in SG&A per store in the fourth quarter of last year. You made a comment, I think you expect you can grow SG&A at half the rate of the square footage in the second half of the year, does that hold true for the fourth quarter as well or do we run up against more difficult comparisons?
Trevor Lang: No, it actually holds true a little bit more so for the fourth quarter than the third quarter, and we’ve been very focused on this ever since business got tough for us starting at the beginning of ‘08 and we started comping negative, and we continue to work with all of the teams here at the corporate office. You guys have heard this in the past, and that’s what you want to hear from us, that we try to do as little as we can to take away labor and expenses, repairs and maintenance and things like that at the store level. We want that experience to be the best possible. Where we have embarked on, cost reductions is at the home office here, and we thought we’ve done a reasonable job in that, and we do believe we will continue to grow our SG&A at slightly less than half of the growth in square footage as we move into the back half of the year.
Jim Duffy - Thomas Weisel: Then, on that topic, are there major spending initiatives that you delayed, that are going to require some catch-up expense in future periods?
Trevor Lang: The only thing, Jim, when I say big, it’s relative to our comps and when we start driving same store sales, it won’t be that material. But I would say our incentive compensation has been meaningfully reduced in each of the last two years. That’ll be something that we are going to want to fund in the future. Other than that, we haven’t meaningfully reduced our spending in areas that we think will impact the long term business. We are investing very heavily today in our website efforts, we are investing in merchandizing solutions to help us better plan, we continue to invest in our information technology department, which is again an area we think we have opportunity to help everybody do their jobs better here. So I think we’ve cut in areas that make sense, our compensation structure, and as we’ve described in our CDNA, our proxy, is sort of a pay-for-performance type thing, and since our business has been down for a year and a half now, we have to take down our incentive based compensation. So, we don’t feel like we’ve cut anything that needs to be completely replaced, with the exception of regaining probably incentive based compensation when we start running sales gains and earnings gains again.
Jim Duffy - Thomas Weisel: That’s very helpful. Good luck to you over the next couple of months here.
Richard Brooks: Thanks Jim.
Operator: Your next question comes from the line of Stephanie Wissink of Piper Jaffray. Please proceed.
Stephanie Wissink - Piper Jaffray: Thank you. I just have one bigger picture question on transactions. I think Trevor you mentioned that was almost entirely the decline in comps due to transactions. Can you just give us some insight on how you’re prioritizing your initiatives to improve traffic, is it traffic and/or conversion? Thanks.
Trevor Lang: I would say we don’t spend a lot of marketing to bring our customers in. We have a very grassroots approach to marketing, our couch tour industry publications support of athlete sort of directly or indirectly to the brand, and we believe that it would be an incorrect marketing philosophy to do broad-based advertising, and we want to keep to that grassroots. We want to be known as the local core shop that just happens to be in the mall. So we view marketing, it has to follow that brand strategy to be played out. The way we are trying to increase our, I wouldn’t say conversions, the transactions, is to have the best product there and have sales people who are very knowledgeable on how we intended to drive sales. So, I’d say we’re trying to drive conversions when we get people through the stores.
Richard Brooks: I guess I’d add to that, and I really want to highlight this Stephanie is, and Trevor said this in his comments is that, we also had an AUR decline in the quarter. Again, by product margin itself, we had an AUR decline around some strategy around brining down price points to meet the value consumers need at this point, and we made up that AUR decline off the strength of our sales teams in terms of actually selling more units per transaction, and I think as Trevor commented, that’s a difficult thing to do. So that’s one of the other measures we are clearly, really focused on as a quality of each individual sales transaction in our stores, in terms of UPTs and DPTs, units per transactions and dollars per transactions, and I think again, a significant accomplishment to be able to make up the entire decline in average unit retail, through our efforts of just selling more in every transaction. 
Stephanie Wissink - Piper Jaffray: Fair enough, all right. Just my second one is on the retention of your store managers. I know you guys have a legacy of retaining excellent managers and promoting from within. When your square footage growth plans cut, have you lost any of your store managers, are you still incentivizing them as you have in the past? Thanks guys.
Richard Brooks: Yes, we remain very, very encouraged. The success of maintaining our key store managers that we have in place out there, we haven’t had any significant trend line differentials there in terms of retaining store mangers at this point Stephanie, so that has not been any different, I don’t think in any significant way for us, and in fact I think our store team is always good as managers and sales teams are good as they’ve been in many years as a matter of fact from my perspective. Now, that being said, as Trevor commented in our pay-for-performance model, we have not changed that. So throughout our system, store managers throughout virtually every aspect of our business, people are making less and so at this point in time we have not gone back at any level, so we need to change that philosophy or that approach. We are going to stick with it and we believe that culturally is the right thing to do for Zumiez. 
Stephanie Wissink - Piper Jaffray: If I can sneak in just one more, giving your history as a retailer, the last time the Labor Day shifted this late into the month of September, what was the magnitude of the shifting comp, if you can give us a sense of that.
Trevor Lang: The way modeled it is, we’ve looked at how much of the sales come in each week over that nine week period of time, and that’s kind of how we modeled that. I think our expectation would be that you’d see some portion of a negative mid single digit comp on August, whatever the trend line you think for the business is, that should have a negative mid single digit comp for the month of August, and it should have a positive high single digit comp in September, because of that shift. Now that being said, there’s a lot of new dynamics, we have a lot more states opened now that we didn’t have last the time we saw a shift like this, but that’s how the modeling we’re expecting it to see.
Stephanie Wissink - Piper Jaffray: Again those are the net changes relative to the trend line right?
Richard Brooks: That’s right.
Stephanie Wissink - Piper Jaffray: Okay guys, thanks a lot. Good luck.
Richard Brooks: Thank you.
Operator: Your next question comes from the line of Linda Tsai of MKM Partners. Please proceed.
Linda Tsai - MKM Partners: Yes, hi. Relative to your 36 store openings in 2010, it seems like nod to a more positive outlook for next year, and then related to that, how much better are rent deals versus a year ago?
Richard Brooks: Let me make sure I understand this, so we’ve introduced 36 stores this fiscal year, we have not commented on how many stores we’re going to do in fiscal 2010, and I think we’ve been at around 36 stores for at least the last two quarters.  In regards to rent deals, it’s sort of the tell of the have and have nots. I think if you look at the A malls and the B malls, there is some opportunity there, but much less so, than sort of the lower volume B and the C malls. I think there’s a lot more opportunity in those malls, but the reason is because I think that a lot of retailers are having trouble in those malls to begin with. So there is opportunity on rents, we are currently extracting costs out of our rents. Our rent cost probably for the first time in a long time, had grown at a rate less than our square footage growth. Again, that’s because that teams done a good job of extracting rent concessions and also unfortunately, as our sales have gone down, our percentage rent have gone down as well. So I think that process moves a little slower then some of the other expenses in our P&L, just because they are more contractually at long term in nature, but we have made progress in areas tactically this year that we can affect, and we are strategically aligning ourselves with the landlords that we believe are going to be the winners in the future. We believe we have good relationships with those, and we’ll continue to make sure we make good decision as we move forward in that arena.
Linda Tsai - MKM Partners: In terms of an update to next year’s store openings, when might you tell us that?
Trevor Lang: I think Linda, that’s something we’ll focus more on towards giving you some better direction in the third quarter call.
Linda Tsai - MKM Partners: Great. Thanks and goof luck.
Operator: (Operator Instructions) Your next question comes from the line of Eric Tracey of BB&T Capital Market. Please proceed.
Eric Tracey - BB&T Capital Market: Thanks, good afternoon and thanks for taking my questions. Maybe just a follow up on the discussion around the AURs, is it your sense that, is that sort of just flexing of the merchandising strategy now during the environment, or is that something the AURs being down more systemic in nature, and if so is sort of the higher UPTs sustainable or should we expect some other kind of shift from a mix perspective thinking about increasing private label or just how should we think about that?
Richard Brooks: Eric, again you want to think about this in terms of our multi tiered price structure. Again, I think we’ve said in the prepared comments, we’ve always tried to drive a multi tired price structures, I assume particularly in all the major categories. So some of this is our buyers reacting to the drive, what the consumer’s telling us they want, adjusting our buy proportionally, so some of the mix shift within our business. Others are planned where we have said, these are key categories, because we believe we need to provide better value in relative to the prior year. We brought down the average unit retails and again, we’ve maintained margin in doing. We’ll maintained our improved margin in many respects in doing that, but there was a more target at our key categories, volume categories where we think we needed to protect our position in terms of market share, and while still protecting the image of our brand and partners, in terms of maintaining integrity about pricing strategy. Now private label, at this point again, it’s been very targeted how we would use private labels as part of these initiatives. We are a branded retailer, we believe in the brands and we want to support the brands, and our private label mix, relative to our total mix of business hasn’t shifted significantly, and we don’t anticipate significant shifts for the rest of the year.
Eric Tracey - BB&T Capital Market: So not necessarily that we are moving to some new normal lower price across -- this is again, just very much reflective of the environment and any more stabilized environment that that should sort of revert?
Richard Brooks: I think it’s both of it, but yes I think that’s exactly right, both in terms of how we are planning the business and how we are reacting to what the customers telling us through our multi tiered pricing structure.
Eric Tracey - BB&T Capital Market: Maybe just in terms of the categories, I don’t think there is a ton of commentary sort of specific within, maybe just an update there if things are either sort of outperforming or underperforming relative to your expectations, thinking about footwear in particular how that sort of progressed?
Richard Brooks: We don’t want to get into an individual category performance Eric, but again as Trevor said in his prepared comments, all departments comp negative. So there is not a lot to crow about in any respect there in terms of their department performance.
Eric Tracey - BB&T Capital Market: Then just lastly, any kind of changes of thoughts around sort of the new real estate strategy being geographic as you’re targeting more versus less, or anything on that front?
Richard Brooks: Well, I think as we said in previous calls, we obviously as we came into this year, we are clearly trying to focus this years set of stores and those areas where we’re having the most success in terms of sales performance. So we did try to make all those kinds of adjusting you would have expected us to make as we came into this year, and I think the same things, the same factors are being considered as you look at what the plan is for next year, which again we will talk more about later this year.
Eric Tracey - BB&T Capital Market: Okay, fair enough. Thanks guys. Best of luck.
Operator: Your next question comes from the line of Edward Yruma of KeyBanc. Please proceed.
Char – KeyBanc: Hi, this is Char for Edward. I had a question about the cartages for men, and have you revaluate and think about the pricing strategy going to back-to-school, specifically looking at brand opportunities. I know you don’t give too much color on that, but I guess when you look at the brand, how has that affected your buying decision based on your pricing strategy, and secondly, when you are looking at the more exclusive or smaller brands versus more widely distributed or more available brands in the mall, has that really made an impact? When you are evaluating, how are you going provide better value?
Trevor Lang: I think I’ll just give you a couple of things Char, this is Trevor. If you look at how the market is being segmented today, you’ve kind of got a lot of people trying to buy for that value, price pointed very basic commodity item, and that exists in basically any market you want to go, any store you want to do, somebody’s got that. That’s not necessarily the focal point of what we are trying to do, and what we are trying to make sure people have is, that they see something unique and they are willing to pay for it. We all know there is a lot less discretionary consumer spending that we had, especially in the teen category. So what we trying to make sure we do is, be something different in the mall not be the same and not have the same commodity based colored priced point and products rack when you walk in the door, which is most of what when you see when you shop, especially teen retailing. So I think what we are seeing in the market, and what we are hopeful that we’ll gain momentum, is that people who want that special piece or that special shoe or that special brand or silhouette, and I think that’s the strategy that we’ve decided to stay true to and not massively change our business strategy just to try and follow this what is hopefully a short term trend on complete value. So I’m not sure if that answers your question exactly, but that’s our merchandizing strategy as we evaluate this.
Richard Brooks: And let me add to Trevor’s comments Char, that we are continuing to see the trend we’ve seen for a number of years now, where we are getting less concentrated in our top; for example, our top ten brands than we’ve been in previous years. So, I think I suppose what Trevor seeing is, that we are trying to work with our brands, provide the right products whether it be for a subset of stores, whatever is relevant for that brand and trying to maximize results for all those brands, and we’re seeing those smaller brands absorb a larger share of our overall mix of our business.
Char: Then kind of housekeeping question, on the new store, the 36 stores that you are planning on opening, I think before you mentioned I think over 50% will be in the Midwest and Northeast, where you have been seeing I guess the most in terms of performance, is that still accurate?
Trevor Lang: Yes, there’s not been a major change. We’re going to do seven stores in the west, six stores in the south, 10 stores in the Midwest and 13 stores in the northeast. As we said in our prepared comments, the Midwest and the Northeast have been the best parts of our performance and that’s why we’re opening the more stores in next year.
Richard Brooks: This current year.
Trevor Lang: This current year.
Char: Then just lastly, if you could just touch up on just on the e-commerce business, and you talk about how that’s been doing. I guess have you seen any improvement there in terms of driving traffic at all or is that a completely separate consumer, can you just talk a little bit more strategically about that business?
Richard Brooks: We have clearly, I think as most of you know we’ve been investing in that business. As we said in the comments, we hired a new leader there a year ago. We are still relatively young I would say in terms of thinking about this as a direct channel business. So we’re in the development phase, I guess is how I’d characterize it and we have our ways to go in getting our specification down of what we’re doing in that business. So we’re doing anything unique or distinct in this point we’ve got to new platform in place and now it gives us a launching point for really developing that business.
Char – KeyBanc: Got it. Okay right, thank you.
Operator: Your next question comes from the line of Liz Pierce of Roth Capital Partners. Please proceed.
Elizabeth Pierce - Roth Capital Partners: A couple of questions on online, I guess that falls in some marketing as well. Have you accepted the frequency in terms of one year sending your e-mails out to customers?
Richard Brooks: No, no change in frequency.
Elizabeth Pierce - Roth Capital Partners: And is that something that is because it’s still kind of in its early stage, it doesn’t seem to me as it’s frequent as I get from others, I guess that’s the basis of my question?
Richard Brooks: Remember we just got the new site up and running in early July. I think it’s a function of where our priorities are with the new site, and again as Trevor as said, we had a decent performance here, 20% gain in our web business through the second quarter. We are now going to those next phases Liz. We are going to look at what are the next steps, what should those frequencies be, today we’re going to maintain the same case those are our current plan.
Elizabeth Pierce - Roth Capital Partners: Okay. Then in terms of some of the competition, particularly kind of on the dependence, and I got on the call a few minutes late, so I don’t know if this came up at all, but have you seen any fallout in terms of the independence not being able to maintain, go out of business that would you help your market share?
Richard Brooks: I think it’s a better question to be asked to the branded side of the business. They are clearly close to that than we are. I mean, I think it’s fair to say that whether it’s independence or smaller regional chains or ourselves, everyone is suffering relative to the economic cycle. So I think everyone will struggle and the best players will survive in the process. Again, as you know we are facing a lot of price competitive pressure out there from some of our competitors. So we think we are employing the right strategies for the long term Liz, I guess would be what I would say about our strategies, how we are executing our business, and we’ll see where that goes and I think everyone is going to be pressured through the cycle; no matter what level of the action sports industry you are.
Elizabeth Pierce - Roth Capital Partners: Then just finally, could you remind me when you are going to anniversary the lower AUR. I thought you said a year ago or in 2008, but I didn’t think it was that long ago?
Richard Brooks: No, it’s not in terms of a strategy now. In the fourth quarter, we had a lower opportunity retail, because we simply more had to match that down to clear some product, that’s not what we are talking about here in terms of the strategy of pricing and value in key areas. So more of our strategy around the low AURs has been effective partially in the spring, and we’ll see how that plays out here, more so in the third quarter.
Elizabeth Pierce - Roth Capital Partners: Okay great. Good work then guys. Thank you.
Operator: Your next question comes from the line of Betty Chen of Wedbush Morgan Securities. Please proceed.
Unidentified Participant: Hi, I’m calling on behalf of Betty, I have most of my answers for my questions, however, I wanted to know if you could provide me with some colors as far as the products online. Are there any difference in what you buy online versus the stores?
Richard Brooks: Again, we are just really getting into figuring out a lot of what we are doing in that business. Historically there has not been a significant difference. I would anticipate that there will be as we move forward here over the next number of quarters.
Unidentified Participant: Okay, right. Beyond the store growth and online business, what other growth initiatives are you guys evaluating?
Richard Brooks: We are constantly looking at opportunities on where we think we can build our business, but nothing worthy of commentary at this point.
Unidentified Participant: Okay, thanks.
Operator: Your final question comes from the line of Jeff Van Sinderen of B. Riley. Please proceed.
Jeff Van Sinderen - B. Riley & Co.: Hi, I got on the call late, so maybe I missed some of this, but in any event I was curious to know. I know you spoke about selling more units and kind of making up for that. So I guess my question is, when you look through the sell-throughs of some of the lower price point items, I know you’re kind of doing this to get better, best; when you look at the sell-throughs of those, is that part of what’s starting to help you at this point?
Richard Brooks: Again, I guess Jeff, let me tell you, as we are reacting to what the consumer is telling us we need to do, but yet still maintain the integrity of our brand, our branded product in terms of pricing structure and image, so we are seeing I think the drop in AR reflects the costumers trading down to some of the lower price tiers. It also reflects our strategy in key categories performance, to bring average unit retail down. It’s a combination of two things, and then obviously the strength of our sales people, again to sell more units to make up for the AUR loss, but that’s a significant accomplishment in my opinion and I’m very proud of the team, our sales teams and our buyers in terms of what we have done there. Now, we have the chance to have a bigger impact to that relative to our business and what our strategies were as we head into this back-to-school cycle. So I think the jury is out on whether we will really translating into significant improved sales, we are going to find that over the next few weeks.
Jeff Van Sinderen - B. Riley & Co.: In terms of private label, just wondering if you are seeing any break in prices their that can help you with IMU?
Richard Brooks: Generally the answer is yes, but we are also balancing the need for speed in trying to reduce the time to market, with what the margin expansion opportunity would be there. In some cases we are willing to trade off a better margin for a faster ability to wrap to the consumer environment.
Jeff Van Sinderen - B. Riley & Co.: Okay great. Well I think your stores you’re looking sequentially better, so I wish you guys good luck this quarter.
Richard Brooks: Thanks very much.
Operator: This concludes the Q-and-A portion. I would now like to turn the call back over to management for closing remarks. Please proceed.
Richard Brooks: Thank you everybody. As always, we truly appreciate your interest in what we are doing at Zumiez, and we are looking forward to the next few months of working through these higher volume periods. As we said, our teams I think are excited about the opportunity to get in there and see what kind of impact we could drive out through this back-to-school cycle. So again, we always appreciate your interest and we’ll look forward to talking to you in November for the third quarter call. Thank you.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. You may now disconnect. Good day.